Operator: Welcome to the Enable Midstream Partners Third Quarter 2014 Earnings Conference Call. Introducing today's call from Enable Midstream is Matt Beasley, Director of Investor Relations. (Operator Instructions). It is now my pleasure to turn the floor over to Matt Beasley. Sir, you may begin.
Matt Beasley: Thanks operator. Good morning and welcome to Enable Midstream Partners 2014 Earnings Call. I'm joined on today's call by our President and CEO, Lynn Bourdon, our Chief Operating Officer, Keith Mitchell, our Chief Financial Officer, Rod Sailor, as well as other members of management. Statements made during this call that include Enable Midstream's expectations or predictions should be considered forward-looking statements and are covered by the Safe Harbor Provision of the Securities Act of 1933 and 1934. Actual results could differ materially from our projections and a discussion of factors that could cause actual results to differ from our projections can be found in our SEC filings. Also please see the appendix of the presentation for reconciliation of non-GAAP financial pleasures. With that we'll get started and I'll turn the call over to Lynn Bourdon.
Lynn Bourdon: Thanks, Matt. Good morning and thank you for joining us for Enable Midstream Partners third quarter earnings call. The third quarter was another great quarter for Enable Midstream. In addition to growing our key financial metrics, we announced new processing capacity to support our Anadarko volume growth, signed additional producer contracts in the SCOOP and extended a major interstate pipeline contract. As you will recall, our growth story when we went public was focused on organic projects. We also emphasized our strong transportation and storage system that is differentiated by gathering and processing supply system in a similar and indigenous demand. Our recent announcements continue to support our story and you will hear more from Keith as he covers segment highlights and operating statistics. Rob, will then cover third quarter results in detail and I'll come back and spend some time reviewing Enable's commodity exposure as well as the economics plays around our systems. We will be also be taking your questions at the end of today's call. This morning we reported third quarter net income of $139 million, an increase of 34% over third quarter 2013. Adjusted EBITDA for the quarter was $231 million; an increase of 13% over third quarter 2013 and distributable cash flow totaled $161 million for the quarter, an increase of 20% compared to our third quarter 2013. The primary driver for our increased results is increased gathering and processing gross margin resulting from higher natural gas process volumes on our Anadarko system. On October 24th, we announced the distribution for the third quarter of $0.3025 per unit which is a 2.5% increase over Enable's second quarter distribution on a full quarter basis. This distribution will be paid on November 14 to unit holders of record as of today's close of business. Now I will turn the call over to Keith.
Keith Mitchell: Thanks, Lynn. First I will cover the highlights from our gathering and processing segment. We continue to have commercial success in the SCOOP. During the quarter we signed additional producer acres dedications and our SCOOP dedications now total 1.1 million gross acres. Our dedications also cover the recently announced Springer shale play which is located in the SCOOP. To support our customer's production growth in the SCOOP we continued to invest in infrastructure in the area. To-date, we've added almost 90,000 horsepower of compression in the SCOOP and we anticipate adding significant horsepower in the fourth quarter, as well. Construction continues on our Bradley plant, we are still on schedule for our first quarter 2015 startup. We also announced a new $200 million a day plan during the third quarter. Construction is already started on this plant and we anticipate this capacity will come on-line in the fourth quarter of 2014. In the Bakken volumes continue to increase on our crude gathering system. In recent week's volumes have been averaging approximately 7000 barrels a day with peeks as high as 11,000 barrels a day. Based on forecasted volume great in this area we’re currently evaluating a potential expansion of this system. As of October 21st, over 400 rigs were in operating in counties in which we operate or have plans to operate. We continue to see strong producer activity, particularly in the high growth areas of the SCOOP in the Bakken. In the SCOOP there are currently 36 rigs, drilling wells that will be connected to our gathering systems. Finally we have also seen a renewed interest in the Cana area of the Anadarko Woodford shale play located primarily in Blaine and Dewey counties in Oklahoma. This is an area where we have gathering infrastructure and significant producer acreage dedications. I will turn now to our transportation and storage segment, during the quarter our MRT system re-contracted transportation storage service agreements with its largest customer, Laclede Gas Company at existing contract demand levels through 2017 and 2018. Laclede has been a customer of MRT since 1929, and we’re very pleased this contract extension continues our longstanding relationship. As you may have seen there have been several recent announcements for natural gas fired power generation projects near our pipeline system. We’re currently in discussions on each of our systems to serve this additional demand. The production growth in Oklahoma also continues to drive demand for natural gas takeaway capacity. This production is increasing demand on our current pipeline systems and may drive the need for new pipeline capacity. Turning to some operating specifics we gathered 3.3 TBtu per day of natural gas on our gathering systems during the quarter, that’s a decrease of 5% compared to third quarter 2013. The decrease in gathered volumes primarily due to lowered gathered volumes on their Ark-La-Tex and Arkoma systems partially offset by the higher gathered volumes on the Anadarko system resulting from the increased rich gas production in the SCOOP play. Much of the decrease on the Ark-La-Tex and Arkoma systems is expected to be offset by payments under minimum volume commitment contracts. Natural gas process volumes were 1.6 TBtu for the quarter, an increase of 7% compared to third quarter 2013, with NGL production increasing 8% and condensate production increasing 56%. The growth in both process volumes and liquid production reflects producer's rich gas activity on our Anadarko system as well as the increasing NGL content of that gas we process. Crude oil gathered volumes from our first Bakken crude gathering system that went into service in November of 2013 were approximately 4500 barrels per day for the quarter. As I mentioned earlier volumes on this system in recent weeks have averaged 7000 barrels a day and we anticipate volumes will continue to increase on the system, due to the producer activity in the area. In our transportation storage segment total transportation volumes interstate firm contracted capacity and intrastate average deliveries were all relatively flat compared to third quarter 2013. I'll now turn the call over to Rod to discuss third quarter results and outlook.
Rod Sailor: Thank you, Keith. As stated in the release, gross margin was $364 million for the third quarter, increase of $31 million compared to the third quarter of 2013. Gathering and processing gross margin was $222 million for the quarter, an increase of $29 million compared to the third quarter of 2013. The increase in gathering and processing gross margin is primarily a result of higher process volumes on our Anadarko system. As Keith discussed earlier, we’ve gathered volume declines on our Ark-La-Tex and Arkoma systems but again I want to state that these declines are associated with contracts containing minimum volume commitment features. The transportation and storage segment gross margin was $143 million for the quarter, an increase of $2 million compared to third quarter 2013. Operations and maintenance expense was $128 million for the quarter, an increase of $4 million compared to the third quarter 2013. The increase in operations and maintenance expense is primarily due to increased payroll expenses to support business growth, offset by lower corporate and sponsor service costs. Net income attributable to the partnership was $139 million for the quarter, an increase of $35 million compared to the third quarter of 2013. Adjusted EBITDA was $231 million for the quarter, an increase of $26 million compared to third quarter of 2013. Distributable cash flow for the quarter was $161 million, an increase of $27 million compared to the third quarter of 2013. The increase in DCF is primarily due to higher gross margin and lower maintenance capital spending, offset by higher interest expense due to the higher interest rates associated with the $1.65 billion in senior notes that we issued in May of this year, compared to the interest rates associated with the $1.3 billion in term loan facilities that these notes were used to repay. Finally, capital expenditures were $205 million for the quarter compared the $143 million for the third quarter 2013. A Lynn mentioned earlier we intend to pay a distribution for the third quarter of $0.3025 per unit on November 14th to all of the partnerships outstanding common and subordinated unit holders of record as of today's close of business. Turning to our outlook, we’re reaffirming our previously announced EBITDA distributable cash flow and per unit distribution outlook for 2014 and 2015. We’ve updated our growth capital guidance for 2014 to reflect a shift in spending from 2014 to 2015. This is just really related to timing and we expect to spend these dollars in 2015. This would put our 2015 spend for contracted expansions near the top end of the range. Overall, our range of expansion capital expenditures for 2015 through 2017 remains unchanged. As a reminder tracking expansion capital includes gathering, compression, processing infrastructure to support growth in the SCOOP, Bakken, Greater Granite Wash and Cotton Valley plays. Identified opportunities are gathering and processing and transportation projects, that are in late stage commercial negotiation, as well as additional gathering and processing and transportation system expansions. This concludes my remarks and I will now turn it back over to Lynn.
Lynn Bourdon: Thanks, Rod. Given the recent volatility in commodity prices I wanted to take a moment to review Enable's commodity exposures. First, Enable targets fee based contracts on a firm basis whenever possible. As you can see from the chart below, approximately 72% of our margin through September was fee based. In addition over 50% of our margin is associated with firm or minimum volume commitment contracts which is driven primarily by our transportation and storage segment. Another 21% of our margin is fixed fee based and a largest part of this margin is associated with a gathering and processing segment. To offset our commodity exposure, Enable's contractual provisions in some contracts to protect against low commodity price environment and volume decreases. For instance some contracts are fee based floors [ph] if commodity prices fall below certain levels while others have protections against the negative (indiscernible) spread. In several of our contracts have minimum volume commitment features. Finally, I want to review Enable's volume and commodity sensitivities, for 2015 we anticipated 10% change in natural gas prices would result in approximately a $20 million change in gross margin, while a 10% change in natural gas liquids and condensate prices would result in approximately a $15 million change in gross margin. To answer potential questions about our outlook for continued activity with recent price movements, we have this next slide. As you can see from the chart, the SCOOP, Anadarko Cleveland, Mississippi Lime, Bakken, Anadarko Tonkawa [ph] and the Granite Wash plays all provide attractive returns at lower crude oil prices than where we are today. As Keith mentioned we have not seen a pullback in producer activity in the SCOOP or the Bakken yet. And Enable is in constant discussions with producers to understand their drilling plans and the associated impacts to our capital projects. These discussions continue to support our current outlook that Rob went over earlier in the presentation. So in closing, I'll say Enable has significant fee based business with a large portion of our margin provided by our firm or minimum volume commitment contracts. Producer activity in our area remains very strong and especially in the areas of the SCOOP and the Bakken, and with the SCOOP we continue to grow our asset footprint in acreage dedications. In our Transportation storage business we continue to have success re-contracting capacity on our pipelines. And we see positive market fundamentals for the transportation and storage business results from producer activity in Oklahoma, as well as an expectation for increased end user demand across our system. I would like to close my prepared remarks for the tribute to the hardworking employees of Enable Midstream Partners who are responsible for our achievements. Our employees have all done a great job at delivering on our promise to be a partner in our customer success. We will now open up the call for your questions.
Operator: (Operator Instructions). And our first question comes from Shneur Gershuni with UBS. Please go ahead. Your line is open.
Shneur Gershuni: Just a quick question on the CapEx side, it seems like 2014 is down a little bit but '15 to '17 is flat. I was wondering if you can talk about the change, was it efficiency of capital deployed? And then maybe also if you can expand a little bit on your earlier comment about CapEx, on the producer side, you know, the backdrop of lower commodity pricing, has that changed their outlooks and then maybe if you can also address the flip side, are there any opportunities that you're evaluating that are not currently identified in your identified opportunity bucket?
Rod Sailor: Again, we're still very bullish on our capital spending profile. We have really just from a timing perspective we're not probably going to deploy quite as much capital by year end this year as that we had anticipated but we would expect to see that spent early in 2015. As I mentioned in my prepared remarks really, we're focusing on '14 and '15 and we would expect that with that slide of spending from '14 into '15 we would be at the upper end of our expanded capital range. And then just maybe touch on the latter part of the question again I think we're going through our plan process now and we're not really seeing anything that would tell us that we're not going to continue to have a fairly aggressive growth capital spend over the next few years. And Lynn I don't know whether you want to maybe address the producer or Keith the producer question.
Lynn Bourdon: Yes, we certainly try and stay buckled up to producers and their drilling plans, and at least in our areas and relative to what we've identified as opportunities, and our build out plans, we have not seen any pull back at all. In fact, those producers that have told us about increasing rigs they have, in fact started increasing those rigs. So I don't think that we anticipate and, of course, as Lynn mentioned we looked at the -- certainly looked at the economics of the basins we're in and they fair very well.
Shneur Gershuni: And one last follow up question, if I may. There has been a lot of M&A activity in the spaces off late. Do you see Enable participating in this wave and if so do you have any color on what would be interesting? Would it be more geared towards bolt-ons versus entering new plays? I was just wondering if you can give a little color on how you’re thinking about it?
Lynn Bourdon: We continue to watch the activity that's out there. I think what we've continued to stress is that we’ve a tremendous amount of organic opportunities in front of us and we're trying to make sure that we stay focused on that piece that is the highest return opportunity for the capital that we can employ. And we're blessed with great customers in good areas and a tremendous system. And that said what we’ve also stated is that we're going to look to get into other basins and we're going to look to extend a value chain. So we continue to look at opportunities and we will continue to look at opportunities and if we see something that we find attractive then we'll try to engage.
Rod Sailor: I would just add, again we feel like we’re very well-positioned from a balance sheet perspective that should we see something we think that would make sense for Enable and Enable's unit holders we could be in a position to execute.
Operator: And we'll take our next question from Helen Ryoo with Barclays. Please go ahead. Your line is open.
Helen Ryoo: You mentioned some opportunities in the Cana Woodford shale and I was just curious it seems like Continental just enter into JV with an international investor and is your activity -- what's the activity level in that, you know -- Dewey and Blaine Counties you mentioned now, and the increased opportunity you're seeing pretty much driven by the sort of the expected ramp up in activity from that joint venture?
Lynn Bourdon: Yes, that's exactly part of what we're seeing there. Certainly you can see where they were able to attract an investor in an area where we already have some infrastructure and have some dedication. So we are very excited about that development and the fact that it will mean more drilling and more volume support for our system.
Helen Ryoo: So I guess maybe more infrastructure build out to support that their activity is that incremental to sort of the CapEx guidance that you've put out?
Lynn Bourdon: Most of that obviously is 2015, and we are incorporating some anticipated infrastructure there, but I think as Rod said with the shift of some of the spin from '14 into '15 and then some -- we already have some infrastructure there. So we're able to take advantage of some existing infrastructure, but we think that we'll be at the high end of the range in '15.
Helen Ryoo: And then just switching gears to the -- your comments of successful re-contracting activity, could you talk maybe just talk about where you’re seeing the re-contracting rates coming in and also have you already started to re-contract contracts expiring in 2015?
Lynn Bourdon: I think what we've seen is very consistent with what we were anticipating as we were on the road. We have some areas where we've actually been re-contracting at higher rates, other areas where we tend to be a little challenged, but the areas that we specifically talked about is the Laclede contract which is the St. Louis area on MRT. We have extended that. We also continue to see a lot of demand for space out of Oklahoma with the growing supply. We've been able to I think as we've announced before basically re-contract that capacity at high rates, and then some of the challenging areas are down on our line CP, but we’re continuing to work with those shippers. And you know, if you look at kind of where we have contracts, you know, we've been able as they've come up we've been able to renew some of the areas again CP a little lower rates but in other areas higher rates. So if you look at what we've got in our 2015, we look to be on plan to kind of coincide with what we kind of told everybody when we were out in the street in April.
Operator: And we'll take our next question from (indiscernible) with BMO Capital. Please go ahead. Your line is open.
Unidentified Analyst: Most of my questions have been asked, but I just wanted to follow up on one couple of minor questions. With respect to the Bakken expansion and the new pipeline capacity that you mentioned, I wanted to clarify that will this be an incremental investment to what you’ve already outlined or is that baked into the CapEx that you have put out there as guidance?
Lynn Bourdon: We brought on the first system last year and we continue to be adding volumes to that which is what I mentioned. We are looking at I would call it identified opportunity to expand that system from -- we initially had initial scope of around 19,000 barrels a day. Right now, we've had peaks of 11,000 barrels a day, but we’re looking at other opportunities where we would need to expand beyond where we're at and then we’ve the Nascent System which again we will start bringing that online early next year, and then continue through construction to where hopefully be completed by the end of '15.
Unidentified Analyst: And I guess second follow up question for me is how do you guys think about maintenance get backs [ph] in 2015? You sort of guided towards the lower end of '14, is that what we should think about '15 sort of not to be?
Rod Sailor: Yes, I think so. Our goal is to try to manage that to the lower end of the range that we had for 2015.
Unidentified Analyst: And I guess last quick question for me, any updates on synergies and how those have evolved?
Rod Sailor: Not really. We continue to see opportunities both on the capital side of the business and the operational side of the business. I think as I said we're going through our planning process now, and you know, probably have more information around that on our fourth quarter call.
Operator: And we'll take our next question from John Edwards with Credit Suisse. Please go ahead. Your line is open.
John Edwards: Just one to follow-up in light of the weaker commodity price outlook. I'm wondering with the identified opportunity bucket what kind of changes you're seeing there? That would be, you know, beyond what you've already indicated in capital spend, basically no change there. But I'm just wondering in terms of the opportunity bucket how that's looking.
Rod Sailor: Really, we haven't seen anything on the commodity side that would impact or identify opportunities bucket.
John Edwards: And then I guess the other question, I mean does this change -- I guess you know if we asked the question, what does Enable want to be over the next five years, with the weaker commodity price environment, I mean how does that impact that thinking at all?
Rod Sailor: We laid out earlier this year kind of our growth philosophy, and nothing that we’ve seen from a commodity impact has changed our thinking. Again, as we said we’ve a significant portfolio of organic opportunities in front of us. Our first job one is to execute on those. We had talked about our desire to get into another basin; I think that's still a priority for us. And then also to, increase kind of the fee based portion of the business and continue to think about extending down the value chain. And again as we sit here today, the price pull back has not impacted our strategic thinking or had any impact on our strategic thinking at all. I don't know whether you want to add anything.
John Edwards: Okay. And does that -- has it impacted say emphasizing certain areas over others? Has it impacted your, say prioritizing at all?
Lynn Bourdon: No, I don't think so.
John Edwards: And then I guess the other -- I mean you put in out your second operational quarter since the IPO, if you could talk about maybe, anything that has surprised you with respect to executing on your plan plans.
Rod Sailor: Nothing really other than -- again I think we came out -- we tried to build a story that we had a lot of opportunities and I think a testament to, you know, the Enable employees and I think we've done a fantastic job of executing on our promises from the discussions we had around at the time of the IPO. We continue to hit on all cylinders, and we're seeing, continue to see good opportunities for growth in the SCOOP and in the Bakken. Our operational performance has been very, very good, so again I think it just bodes well for continued development in the coming years. We got kind of our strategy laid out. As I said nothing has changed our thinking, yes, we've had some commodity pull back but really hasn't impacted us to-date at all on our strategic thinking or quite frankly on operational performance.
Lynn Bourdon: And I'll just add I think we're very, very happy with the focus of our employees, they've done a great job in making sure we continue to take care of the customer and we continue to deliver on what we promised them that we're going to do, our attention to safety and environment and the public has been very, very good. So we've done a lot of great things both internally as well as externally with the company since having gone public. So we're very, very happy with that.
Operator: (Operator Instructions). We will go next to Brian Lasky with Morgan Stanley. Please go ahead. Your line is open.
Brian Lasky: I just wanted to see if you guys could expand a little bit on the Springer opportunity around your acreage, maybe just provide a little bit color on how perspective it is across your existing footprint and how you see that potential opportunity playing out?
Keith Mitchell: This is something that Continental had announced at their Investor Day where they have talked about a zone that is in the same area as the SCOOP and I think they've issued -- can certainly go to their information and see kind of how they've had it mapped out. I think the good thing is it's another producing zone with a lot of promise with some gas associated with it and fits very much in that whole SCOOP area, which bodes well given our dedications in the area, bodes well for additional volume support. So I think it's like in addition to, so certainly all the other zones in the original plans are there and this is something in addition to so I think it's a nice development for us to have and volume support for our infrastructure.
Brian Lasky: So it's within your existing dedication for most part?
Lynn Bourdon: Yes.
Brian Lasky: And then I was wondering, if you could speak really quick on your natural gas take away opportunities at Oklahoma, what's kind of your latest thinking there and what could the timing of that look like?
Lynn Bourdon: Well it's something that we continue to work on. It's something that as we certainly see volumes on our system continue to increase. We think that given that a lot of those volumes are on our system, we continue to talk to those customers and I would just say that that has continued to develop and we feel like we're in a good position and feel like we’re going to continue to work on that and we think that there will be some additional infrastructure needed for take away out of that area that we hope will get done.
Brian Lasky: And how should we think about the timing of some kind of announcement there?
Lynn Bourdon: I think when we have something to talk about, we will announce it.
Brian Lasky: Okay. And then just finally for me, I think we’re kind of aware that the different breakeven's in the basin. I was just curious at what price level do you kind of see impacts to your future project backlog? At what point do you guys start to get a little bit concerned in terms of your discussions with producers?
Lynn Bourdon: I think the easiest thing to say is one the producer is always in charge of where kind of what their activity level looks like. We gave you an indication based on public information of what returns look like at different pricing levels. And I think if you look at it by the mark of any industry to be able to have a 30% IRR project, many and most industries would love to have that type of investment opportunity. So we still believe that we're going to continue to see a tremendous amount of activity in our core areas as we go forward, because you always have to look at these things on a relative basis and even at lower price levels the returns in the basins that are core and central to us still remain above those in other areas. So our focus is we've continued to believe we'll see a lot of activity in our areas as we go forward.
Operator: And we'll take our next question from Agha Ali with SunTrust. Please go ahead. Your line is open.
Ali Agha: Could you remind us, I know you guys have talked about this in the past, but as you’re looking looking at new opportunities whether Greenfield or Brownfield or M&A of assets, what were the returns or multiples generally that you guys target and just remind us of those and are those still available in the market as you're seeing new opportunities?
Rod Sailor: We have talked about our organic opportunities. We kind of try to shoot for a kind of 15% IRR. We're in competitive areas, and so we've seen maybe that deteriorate just a little bit to maintain the business. But we think about seven and eight times multiples. Clearly if you’re going to look out and do something on the acquisition side, the multiples have been super charged, been very high. That’s one reason that we’ve continued to focus on trying to capture organic opportunities along our footprint. We've looked in other areas and have chosen that at some of the levels that we've seen that we have better uses for our capital. But again, we're kind of that mid-teens IRR is what we shoot for on the G&P. It's going to be a little less than that on the transportation and storage side.
Ali Agha: Okay. And also can you remind us assuming the CapEx plans that you’ve laid out through 2017 play out as budgeted or expected, what kind of EBITDA growth does that support, if you spend that money?
Rod Sailor: Well what we have said is if the capital -- we can deploy the capital that we think we have the opportunities around. We would actually be kind of growing our distributions at kind of a 10% clip and that's really what we've talked about going forward, is our ability to pay, kind of a year-over-year distribution and kind of a 10% type range.
Ali Agha: Does that include both the contracted expansion as well as identified opportunities?
Rod Sailor: Yes, it does. Again I think if we were to hit on all of -- I think all of those opportunities; we would be in that 10% range. I think we talked about kind of a 10% to 12% compound annual growth rate, and I think if we were to capture all of those opportunities we would be in that band.
Operator: We'll take our final question from Matt Tucker with KeyBanc Capital. Please go ahead. Your line is open.
Unidentified Analyst: (Indiscernible). First question I wanted to ask about I noticed that NGL production was a little lower sequentially despite higher process volumes growth. Just hoping you could kind of help put that in context for us. Is that purely a function of NGL prices or is there something else that we should be thinking about there?
Keith Mitchell: I don’t have those numbers right in front of me but I will tell you, you get some variation over short term periods. We really look to optimize all of our plans, which will cause us believe it or not at times to go into ethane recovery for few days. So if you look at just some short term periods over period you can certainly see some variation in NGL production. I think what I would look to is if you look, last year, this year, and look -- and even quarter-over-quarter you look at the inlet volume process we continue to grow and so the content of the NGL gas stream from a NGL perspective actually continues to increase. So I'm guessing what you may be seeing there is just some short term optimization issues.
Unidentified Analyst: So over the long term, it is fair to think about the two that is the process volumes and NGL volumes moving directionally?
Keith Mitchell: Yes, that is true.
Unidentified Analyst: And then I know that this has been touched on everyone has asked this a dozen different ways but just in terms of commodity prices, I know that the second quarter you guys had kind of put out some hard pricing assumptions. I think it was around 440 Henry Hub. In the current -- natural gas prices are up a little bit today but in the current commodity price environment if this were to -- if we saw these prices for an extended period would you be as comfortable as you've indicated on the call with your outlook?
Keith Mitchell: Yes, we would.
Operator: And we have no further questions at this time. I would like to turn the program back to our speakers for closing remarks.
Lynn Bourdon: Thank you, operator. I want to take this opportunity to again thank all of our employees for the continued engagement around safety and for all of their hard work that has resulted in the accomplishments that we’ve outlined here for you today. Also want to thank everyone for listening to the call for your interest in our company. We have a great story, and a great team. And I look forward to speaking to you again soon. Thank you, and have a safe day.
Operator: Thank you. This does conclude today's teleconference. Please disconnect your lines at this time and have a wonderful day.